Operator: Good morning. My name is John and I'll be your conference operator today. At this time, I would like to welcome everyone to Atkore's First Quarter Fiscal Year 2025 Earnings Conference Call. All lines have been placed in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Thank you. I would now like to turn the conference over to your host, Matt Kline, Vice President of Treasury and Investor Relations. Thank you. You may begin.
Matt Kline: Thank you and good morning everyone. I'm joined today by Bill Waltz, President and CEO; John Deitzer, Chief Financial Officer; and John Pregenzer, Chief Operating Officer and President of Electrical. We will take questions at the conclusion of the call. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties, such that actual results may differ materially. Please refer to our SEC filings and today's press release which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA and any reference to EPS or adjusted EPS means adjusted diluted earnings per share. Adjusted EBITDA and adjusted diluted earnings per share are non-GAAP measures. Reconciliations of non-GAAP measures and a presentation of the most comparable GAAP measures are available in the appendix to today's presentation. With that, I'll turn it over to Bill.
Bill Waltz: Thanks, Matt and good morning, everyone. Starting on Slide 3. Our Q1 performance was in line with our expectations. We achieved net sales of $662 million and adjusted EBITDA of $99 million, both of which were within our outlook range. Our $1.63 of adjusted EPS was near the top end of our outlook range. Organic volume declined 5% in the first quarter but this is in comparison to our strong volume performance in the first quarter of fiscal 2024. Our teams have been focused on executing the growth initiatives that we discussed in November related to water and global construction services. We are on track with our organic initiatives and are planning for those to come online later in the year to support both our PVC and HDPE water products. We continue to pursue several opportunities for global mega projects as we look to grow our pipeline and eventual backlog. We remain committed to returning cash to our shareholders as evidenced by the $50 million in share repurchase in the first quarter which complements our quarterly dividend payment. I'm also pleased to highlight the release of our fiscal year 2024 Sustainability Report which we published last month. This report details our ongoing initiatives, accomplishments and progress toward our 2025 goals. In the first quarter of 2025, we released additional environmental product declarations for our core products. Atkore has EPDs for our core products covering approximately half of our global sales. When we met in November, we planned our year with an expectation that we will continue to face challenges impacting both our volume and price due to increased foreign and domestic competition. Most notably, these challenges impact our PVC conduit and steel conduit businesses. Having completed our first quarter, we now believe the challenges we outlined in November will have a larger impact on our 2025 performance than previously anticipated. We saw year-over-year volume increases in imported PVC conduit which is impacting the market environment. Additionally, we continue to see year-over-year increases in imports for steel conduit. The imports for both PVC conduit and steel conduit originated from countries where quantity limitations are either non-existent or poorly enforced. During the first quarter, we saw downstream constraints impacting our utility scale solar market which impacted our volume. However, we are pleased by the improved operational performance within the S&I team and our Hobart, Indiana facility. I am disappointed that we continue to operate in these conditions. The challenges we are navigating are not what we anticipated at the end of fiscal year 2022 when we signal normalization of our record profits. We now expect full year 2025 adjusted EBITDA to be approximately $400 million at the midpoint of our range. Our outlook reflects what we believe is most probable. We are pleased that an announcement was made related to tariffs on Mexico. Should these tariffs go into effect, they should have a positive impact on our business. At this time, our outlook does not contemplate any material benefit from tariffs on imported conduit. As a reminder, the recently announced tariffs impacting Mexico and Canada do not affect our PVC conduit business. We are currently forecasting the headwinds impacting PVC pricing may continue. In the meantime, we are advancing our key initiatives to expand our business in new market areas. Secondly, we are prudently looking at our enterprise-wide cost structure to mitigate the impact of these industry headwinds. Lastly, we are looking at alternative scenarios for certain assets to provide the best economic return. My conviction and our team remains strong and we will lean into our business system to execute our strategy. I'd like to take a moment to thank all of our employees for everything they do to support our key stakeholders. With that, I'll now turn the call over to John to talk through the results from the quarter and provide more details on our outlook.
John Deitzer: Thank you, Bill and good morning, everyone. Moving to our consolidated results on Slide 4. In the first quarter, we achieved net sales of $662 million and adjusted EBITDA of $99 million. Our tax rate in the first quarter was 21%, an increase from 17.5% in the prior year. As a reminder, the tax rate in the first quarter of last year had benefits from previously granted stock compensation. These outsized benefits contributed to our stronger-than-anticipated EPS performance in the first quarter of fiscal '24. Turning to Slide 5 and our consolidated bridges. Organic volumes were down 5% compared to double-digit growth in the first quarter of fiscal '24, when volume was up over 13%. Our average selling prices declined 12% during the quarter, most of which came from our PVC conduit and steel conduit products. Moving to Slide 6. Our volume decline during the first quarter was across most product categories. As we mentioned earlier, volume in the first quarter last year was atypical for what is traditionally our slowest quarter. However, our metal framing, cable management and construction services businesses grew mid-single digits in the first quarter of fiscal '25 after being up high single digits in the prior year. This growth is driven by both an increase in our construction services support of global mega projects as well as the high density of metal framing products required for this type of construction. We anticipate additional growth from these businesses throughout our fiscal year in part due to the addition of new capacity for metal framing to support large construction projects such as data centers and chip fab manufacturing. Our plastic pipe and conduit product category declined mid-single digits during the quarter. This category grew high single digits in the prior year as the channel is adding back inventory after a period of destocking in 2023. Separately, as Bill mentioned earlier, we are also seeing an increase in imported products coming from multiple locations, including Central and South America. The combination of imports remains below 10% of the overall market but we are continuing to monitor this situation closely. In addition, we are examining the product quality characteristics of these imported materials versus the standards and specifications. Our volume decline for steel conduit was also impacted by year-over-year foreign competition. We believe that imports represent between approximately 20% to 25% of the overall market. As we look beyond Q1, we continue to expect growth across much of the portfolio, including contributions from our plastic pipe category driven by growth in our water-related products. Overall, we continue to expect volume growth between low to mid-single digits for the full year. Turning to Slide 7. Adjusted EBITDA margins compressed in our Electrical segment due to previously mentioned pricing and volume declines. The adjusted EBITDA margins also declined in our S&I segment primarily due to lower volume. The S&I segment margins, however, did improve sequentially from the fourth quarter of 2024 and we are pleased with the operational performance and improvements being made in our key facilities such as Hobart. Turning to Slide 8. We continue to execute our balanced capital deployment model with an emphasis on returning cash to shareholders along with capital investments to progress our growth initiatives. Our balance sheet remains in a strong position with no maturity repayments required until 2028. Next, on Slide 9. We expect low to mid-single-digit percentage volume growth for the full year. We expect our Q2 net sales in the range of $685 million and $715 million. Our adjusted EBITDA is expected to be in the range of $85 million to $95 million. Our adjusted EPS is expected to be in the range of $1.30 and $1.50. Historically, we are accustomed to anticipating some amount of seasonality. We generally build in an expectation that the back half of the year will be stronger than the first half. We believe this will be the case this year for 2 main reasons. First, our overall business is generally stronger in the spring and summer construction season versus the fall and winter. Second, as we continue to ramp up our initiatives, our volume should steadily increase throughout the year. Therefore, we expect adjusted EBITDA to improve sequentially from Q2 into the second half of the year. As Bill shared, we are also updating our full year 2025 outlook. We now expect full year adjusted EBITDA in the range of $375 million to $425 million and adjusted EPS in the range of $5.75 to $6.85. With that, I'll turn it back to Bill.
Bill Waltz: Thanks, John. Moving to Slide 10. As I and the entire management team focused on executing our growth initiatives and creating greater value for our customers and shareholders, we remain confident that the electrical industry is a great place to be. Atkore's strong balance sheet, breadth of products, service capabilities and goal of being the customer's first choice positions us well to benefit from the strong electrical trends projected across numerous end market categories. We remain committed to returning cash to shareholders through a combination of share repurchases and quarterly cash dividends and look forward to sharing more about our progress against our growth initiatives related to global construction services and water-related products later in the year. Through it all, we are guided by our strategy, our process and our people, the 3 fundamentals of the Atkore business system. One recent demonstration of the Atkore business system at work is our announcement of our new Chief Operating Officer held by John Pregenzer. John's multidisciplinary career, combined with his experience, holding various roles at Atkore since joining in 2015 makes him a tremendous asset and I'm excited by the additional value he will help Atkore achieve for our customers and our shareholders. With that, we'll turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Bill, can you elaborate on the commentary that import competition is gaining momentum in PVC. Maybe what has changed with PVC imports versus past that you've seen a pretty big move from this Latin American competition? And then metal conduit volume looks like a reverse course and declined in Q1. Is that just for comps, project delays or new capacity starting to come in?
Bill Waltz: Yes. So let's go through PVC and I'll go and take your question and give a bunch of details here, Andy. Imports have grown; now they're still single-digit numbers but they've grown over 20% year-over-year. So, I just -- whether it's -- hey, it starts working or they get customers, therefore, they increase their shipments and that's probably the primary thing; again, single digits overall market volume but driving down price and/or competition with slower markets, matching price, all those different things. So now the one thing I want to jump ahead on is in our guide, what we've done this year just because quite frankly, for anybody, frustrated with not having numbers that we hit and exceed is that we put it out, we have it literally going down to pre-COVID levels by the time we exit the year. Now is it our intention to add value and see if we can push price up and see what Trump does and everything else there? But for now instead of saying, oh, we didn't expect it; we've taken a very aggressive view -- quite frankly, a view for price declines. And our forecast again, not what we're internally managing to, that this would be the worst year for year-over-year declines in PVC. So Andy, I both answered kind of the imports. I also think, now again, I don't know anybody's cost base. If you get to that point where it's pre-COVID, I don't think they can make money with the additional freight even if they have lower levels. From our analysis, the resin costs in these countries are the same as ours. There's -- the proportion that's labor is just small compared to everything else that I don't think it would make economic sense anymore. So hope we get a feel for that. Steel, I think, I look over my team and so forth but it's mostly just year-over-year comp. Imports are still a challenge there. But literally, imports have grown like 4%. So I think it's moderating with that. It's just we had a tough comp. But again Andy, one of the things we did with this thing is to go, you know what, we talked in previous quarters, we did not expect much bump from Trump and tariffs, versus like, "Hey, somewhere at the end of the year, things have to steady out." it's like, "No, guys, just take a linear or like do not expect any price increase anywhere." So again, I think you have -- we have not changed our guide to get on the call but I think we've taken out all variables and now it's just for us to perform any Trump tariff, any quota, anything else is upside to these numbers.
Andy Kaplowitz: No, that's helpful. And then just on the volume side, I just want to make sure of this. Like so volume was down 5%. It looks like that is just tough comps. You're not forecasting any season -- any cyclical improvement in construction markets, it's just seasonal improvement. Is that right? And maybe any sort of commentary on the health of the markets that you see?
Bill Waltz: Yes. It's exactly, Andy. So no bounce back in industries, no bounce back in residential or anything else there. So it's literally, as I think in John's prepared remarks, I think we will finally get back to normal pre-COVID things that there is that 7%, 10%, just the summer months and so forth that we'll have that. Otherwise, even most of our initiatives, like I'm sure somebody will ask about BEADs and HDPE, we really have going into '26 and so forth.
Andy Kaplowitz: Okay. And just one more for me. Like, can you give more color into your comments regarding looking at your cost structure under getting value? I think you said value for strategic assets. Might we see bigger activities on these fronts this year and what could that look like?
Bill Waltz: I'll start and turn it over to John Deitzer because there's so many things but I'll steal some of John's just talking this morning. Sorry, John. But to give you things we've already done. We had a facility in Tempe, Arizona. And again, we do drive lean. We were able to close that operation. So keep the business activity but move it into Phoenix, move it up into Massachusetts. So that's one example. We did also, as we look forward strategically, look and go, "Hey, we can produce in some areas." I don't want to get what specific line. But to go, hey, we can actually produce and we don't need this asset, so we sold 2 or 3 production lines. Again, we will still meet our customer demand without that. We are cutting back on -- I say personnel but hey, headcount freeze for attrition. We're looking at lines back to, let's say, PVC conduit in water, making trade-offs depending on the economic return, making the economic return on how much mechanical product versus conduit products and the list goes on. We have and I think we'll hit this, the most aggressive or the highest year-over-year productivity that I'm aware of in Atkore's history. So Andy, it's a bunch of things we're looking at. And could we spin off small businesses that like you bought with an acquisition that weren't strategic, all those things are either have happened or in place as we go.
John Deitzer: I agree with everything Bill mentioned there. I would just add to his point that we did have some positive productivity and we are going through almost at every line item, asset by asset, what makes the most sense. So I think we are actively trying to understand what levers we have to pull.
Bill Waltz: Yes. And Andy, sense for you, I know you'll appreciate but again, it's a forecast. We have 2 weeks of backlog, all those other things. But I do think this is a point where I'm just frustrated with the unexpected. It's like, okay, guys, listen, I assume good things, they will raise forecast and let's work like hell to get these numbers moving forward.
Operator: Your next question comes from the line of Deane Dray with RBC.
Deane Dray: So just if I step back and look at the first quarter, price and volume both came in largely in line with our expectations. So the cut here is all prospective on how you think the dynamics change for the balance of the year. And maybe it would be helpful if you could, just in broad strokes, kind of break out for us on that guidance cut, how much is the PVC, how much is steel conduit? Just to size kind of the severity. And you hadn't, unless I missed it, talked about the new competitor in PVC. Maybe it hasn't really become all that volume online yet but if you'd address that?
Bill Waltz: Yes. I'll hit the beginning and then I'll turn it over to my illustrious financial partner just on what level of precision on the breakout between 2 groups. But Deane, to the earlier comments I made to Andy, yes, he's out there, others are there. I think it's mostly the imports at this stage better driving it. And then just market reaction. I would say this has been consistent for 10 years that, I mean, for Atkore ever, supply and demand is the biggest challenge. And now December was light. We answered that with the previous set of questions. It's mostly comp and then obviously, January was light. What I hate to talk about like storms, fires on California and freezing temperatures down south that -- but us looking saying, "Hey, how is January pricing gone? And what happens if this trend continues?" I just don't want the optimism this won't continue to happen. So like let's linearly extrapolate that. Now I'm not changing to go over the first week of February, whether the concern of tariffs have actually -- if we keep this up, it'd be another number but that's 1 week. So I think we're going through those things and just saying, hey, let's not hit with what we would like to have happen but what could happen and work our way back up from there. And then, John, if you...
John Deitzer: Yes. I'll jump in here to kind of help you dimension it, Deane. So from a price versus cost standpoint, we roughly had an outlook of down $300 million previously. Now we're at the midpoint, roughly down $400 million. So it's a $100 million delta from a price versus cost standpoint versus where we were back in November. I'd say roughly $75 million or 3/4 of that is on the PVC side and probably 25% of that is on the steel conduit side. So overwhelmingly driven by the changes in expectations from a PVC conduit. I'd say that market is changing as we've talked about. And I'll probably kick it here over to John Pregenzer who can kind of give some context on what we're seeing from an import perspective, where it's coming from because I don't think it's just about the domestic competition as well. John?
John Pregenzer: Yes. Thanks, John. Deane, so when we look at the PVC market, there's been a number of new entrants from all different sources, whether it's imports from Latin America, from China. We've seen domestic producers diversify out of the waterwork business to get into the electrical space. And obviously, there's new entrants that are coming in out of nowhere. So it's my career, probably the most disruptive period we've ever seen in regards to a number of new entrants and that's just creating a lot of pressure on price and spread that we're experiencing. And there's been a significant acceleration here as we've been tracking this price normalization over the past couple of years, the last quarter to 2 quarters has really accelerated. So I think what we're trying to do is to capture that going out for the rest of the year.
Bill Waltz: And I know, you might ask -- go ahead. Go, Deane, sorry.
Deane Dray: No, I just -- that's great color to be able to size what those are and to hear John's comments about the -- how many other entrants are in the PVC side. We were thinking just it was Venezuela and Dominican Republic but it's much more than that. So that's very helpful. And Bill, I cut you off.
Bill Waltz: Yes. No. The only thing I would put a pin in is like, hey, we have factored -- you never know but literally, as I mentioned earlier, to go, okay, let's bring it back to pre-COVID levels. And Deane, back to -- again, I can't commit to this, Deane or anybody else. But you've been around for the decades plus or even before that, as you know but the PVC role of the 500 miles like the margins aren't there to substantiate it. So we actually think before we get to that number, some of this would shut off but I'd rather have it as best as we can in the forecast.
Deane Dray: Yes. That's a great last point there. And just one question and I'll hand it off was, are you suggesting some of these imports and is it both PVC and steel might not be meeting specs?
Bill Waltz: Yes. I would say without getting too specific and looking over my attorney here because there's not a 30-second rewind. We've communicated in the past, there are several things occurring. One, there's products that don't have all the specs. So for example, you can use it in this application but you can't use it in that. So then a contractor has to decide, are they meeting and saying, put this and quite frankly, they're not looking to go, oh, it doesn't meet a temperature of 90 degrees Celsius. Two, we are working with the authorities on products coming in even, for example but I won't call what specific customers and so forth. But where they have to pass like an impact test of 7 out of 10, you have to drop away from certain things and not crack. And we've recently tested 1 significant importer and they're passing 1 out of 10. So from authorities to customers, to our government relations, this also are things that just for the safety of society need to be fixed.
Operator: Your next question comes from the line of David Tarantino with KeyBanc Capital Markets.
David Tarantino: Maybe just to put a finer point on PVC. Is the revision entirely from the imports? Or is there also additional capacity domestically? And then could you maybe give us an updated view on the degree of incremental capacity being added from the market as a whole?
Bill Waltz: Yes. I think, David, it's a little both to what John Pregenzer said. What we don't know because, again, we don't talk to our competition. I don't know how much is additional lines coming on board versus just the mix of -- some of the people will go, hey, I'm municipal just like we're moving into like we generically call it the water market, you got ag, you got plumbing, municipal within there. But how much of these others saying, let's expand some -- I say expand but sign up an agent and so forth. So is it capacity versus expanding their market presence, that's a little bit tougher. But it is imports is a large part. Well, I'm saying large. Again, I'm trying to dimensionalize, it's still less than 10% but it was up over 20% year-over-year. And then it's expanding out with some of the U.S. manufacturing companies.
David Tarantino: And just to confirm, this quarter's revision was mostly just the imports?
Bill Waltz: Well, I think it's pricing. It's the one problem with this, even I've talked in the past, whether it's steel, conduit or whatever else. It's I'll [indiscernible] and then I'll try to answer your question. I still think we're the market leader out there. We had the full breadth of products. We have regional service centers. We have national footprint. Because of our spend, we have relationships with all these companies and we're kind of the first choice and last look. But people trying to enter the market, trying to grow will leverage price. It's hard to say to go, well, hold, who was the one that dropped their price or now that somebody dropped their price, even a well-known recognized competitor of ours, call it Tier 1 person has been around for a century or something, that PVC hasn't been long but you get it, to go, "Hey, now they're matching and now they think that's the market price." So David, it's just how hard to say here is the one causing it. I think it's more the imports but I just can't say or you can't point it down to one specific one. Does that make sense, hopefully?
David Tarantino: Yes, yes, that's helpful. And then on the volume growth, is there a way to break it out between kind of end market expectations and the internal initiatives? And maybe on that, could you give us an update on the progress around the growth initiatives, particularly between solar and water?
John Deitzer: Yes. Absolutely, David. Thank you. So I would just think about the framework we laid out on Page 6. It's a good way to start. That metal framing, cable management, construction services business did very well in the first quarter, mid-single-digit growth after high single-digit growth in the previous year. This is where we have really good exposure to some of the strongest growing end markets like data centers and some of the large manufacturing projects. And then we have the capability that we've talked about from construction services as well as we have some new equipment related to the metal framing product line that we think will really help us here drive a significant portion of that growth. That product category continued to grow in the back half of the year, probably that would be a key driver for us. As you mentioned, the other key driver, the plastic pipe conduit product category, we think with the new water-related products, that will have -- that's the next biggest growth driver in the back half of the year, especially as we manage through some of these comps. We talked about the first quarter. We made the difficult comparison around last year with the restocking, things like that. But now we have that equipment and benefiting. So that's probably the next biggest driver. And then we expect the metal conduit, electrical cable, there should be that kind of market level growth of low single digits for the overall non-residential market but we do have the competitive factors, especially thinking about the steel conduit dynamics. And then the mechanical tube area, we were soft here in the first quarter. We do anticipate that getting better in the back end of the year but there is challenges with the solar market in general. We are performing well, as we mentioned but there are some dynamics that I think some people are trying to sort through. So that's kind of the construct and the framework on how to still get to that low single-digit volume growth for the back end of the year. I think it's the -- there are some positives. We've talked about a lot of unfavorable items here. We are positive here; this metal framing construction services is doing well. And I think not just this year but as we look into the future, this is a really key area for us to combine a few different offerings. So I think it can be really good for years to come.
Operator: Your next question comes from the line of Chris Dankert with Loop Capital.
Chris Dankert: Forgive me if I'm misunderstanding but the expectation around profitability is now that we're kind of reset the pre-COVID levels on the PVC side. However, we've seen imports come in. We've seen more domestic production. So how do we get confident that, that is actually the right level and not something lower than pre-COVID?
Bill Waltz: Okay. So I'll go through that. There's no guarantee. But what I would say, Chris, to my earlier remarks, at -- first off, I'll even clarify a little bit, what we have in here is our pricing down to that level. And then the nuance to that is I think everybody would agree that labor cost going through COVID, double-digit inflation for a couple of years, transportation going up, that the margins we have at the end are even lower than pre-COVID, like what we're thinking for industry level. And then the answer I gave earlier, again, I don't know others cost position. But at some point, our quick analysis says, it's just no longer effective because of the freight. Back in the day and I'm saying pre-COVID, we used to have this general rule that you didn't ship more than 500 miles, 700 miles, 800 miles because back then, freight was around 7% to 8% of revenue. You just -- it's a big bulky light item. It cubes out. It doesn't wait out for the pricing. Therefore, at some point, imports coming from across the globe no longer, in our opinion, from our analysis at the moment, make economic sense. So I can't guarantee the future there but I just think at some point, you start getting down to your cost position. And from that standpoint, I feel good with Atkore because we are one of the largest resin buyers. We've talked in previous -- it has been massive over the last couple of years for the pricing. But we have automated factories where people have things. We automatically bundle our products and the 20 other things mix things that people do manually that I think we have a good efficient process. And as I mentioned earlier, even this year alone, including PVC should be our best year for productivity that I'm aware of pre of post IPO.
Chris Dankert: That's extremely helpful. And then I guess just on Hobart, I mean, maybe can you tell us where production levels are kind of at versus target? And then to my understanding, is the IRA or those incentives are narrowed, changed, whatever, that doesn't particularly shift the profit pool for Hobart, right? Like most of those incentives are passed along to customers, correct?
Bill Waltz: Yes. So a couple of things. Operations is doing well now. I think even to the point of where I was on a call with the operations teams last week saying, "Hey, look at a different plan, what are you going to do?" And there was a little bit of bravado. I think I wish I had a year before but the team was going well, what we did at Hobart, we're going to now come to there. And my point there is operations are hitting speeds, productivity, all the different things that we're expecting at the time. So it's now back in our -- one of our top sales teams go, okay, now that we got this in addition to solar, customers or anything else, go fill the mills, expand beyond and so forth. So we're in a good spot there in general, again, now let's go get volume. As for the IRA and so forth, our expectations, whether it's that or no one's asked me about BEADs and HDPE that I think these were all bipartisan acts that is spending that hit most states, therefore, whether you're red or blue. So I don't see things changing and/or if there's less, back to our current President, if there's less incentives, you would think there's tariffs to offset that he has spoken to how you would rather run things. So short term, when you get to solar and I think in the prepared remarks, we talked about there is some hooking up to the grid. I'm well beyond my skis here but if anything, as President Trump talks about deregulation, over time, that could be an enabler that we get things moving quicker as we add more solar capacity. One of -- I'd like to reference other people. In other words, this is just Atkore. One of the largest solar trackers, I think, already had their earnings announcement and they talked about record backlog and so forth. So again, I'm not getting into the quarter but longer term, I still think this is a great market to be in. And by the way, we started the solar torques before there ever was like an IRA tax credit. So we're prepared to grow this market with or without incentives.
Operator: Your next question comes from the line of Chris Moore with CJS Securities.
Chris Moore: Most have been answered. Maybe can you provide perhaps the puts and takes as to why fiscal '25 will be the bottom from a revenue and an adjusted EBITDA standpoint?
Bill Waltz: So here's the puts and takes. We do expect, as I've mentioned earlier and I'll give you some caveats to think through with models, Chris and everybody else, that like the PVC and so forth asked to go, okay, let's just take it down. It's not going to all drop in January again or February right now. First week of February is pretty damn good. But over time, let's just bring it down, as I already answered, that's on price and there's more costs than there was 5 years ago in the industry. So we think it's a natural number and then it's our productivity, our growth in global mega projects and so forth that will actually be upsides. Now the one thing in the model that people have to think about is going into next fiscal year, there would be some -- if pricing levels are out at the end of the year, there would be some decline in 2026 because if you just think about comps, if you think about October of '26 versus October of '25, pricing dropping this year will make a tougher comp at the beginning of next year. So now we're not here to give guidance on '26 yet. I want to show and perform over the next 3 quarters in Atkore and drive these initiatives but do we have enough productivity. I really think and I look forward in future earnings, talk about global mega projects and what we have accomplished there in various things, the puts and takes. But that's, Chris, our thought on '26 going forward.
Operator: This concludes the question-and-answer session. I would now like to turn the call back over to Bill Waltz for closing remarks.
Bill Waltz: Thank you. Let me take a moment to summarize my 3 takeaways from today's discussion. First, Atkore continues to evolve as we expand our products and services portfolio through our initiatives which we believe are natural extensions of what we've built over many years. Second, we continue to monitor the overall market dynamics and competitive landscape and believe several factors could have a positive impact for us as we move throughout the year. Finally, we remain committed to our capital deployment strategy to create shareholder value over the long term. With that, thank you for your support and interest in our company. We look forward to speaking with you during our next quarterly call. This concludes the call for today.
Operator: That concludes today's conference call. You may now disconnect.